Kenneth Ko: Can you hear me, Brett?
Brett Kelly: I can hear you. Can you hear me?
Kenneth Ko: Yes. Yes, I can. We're live, Brett. So we're good to go.
Brett Kelly: Yes, that's cool. It just says my microphone is muted. That's all. But look, if we're live. Good day, and welcome to our First Half 2026 Results for Kelly Partners Group Holdings Limited. My name is Brett Kelly, the Founder and CEO, and I'm joined by my colleague, Kenneth Ko, our Chief Financial Officer. It's really terrific to meet with everyone today, and we'll have a short presentation, which was published this morning and we'll take largely as having been read, and then we'll move to some questions. We like to have this front page that makes a quick clear summary. The team has grown strongly, while maintaining the revenue per person. We've grown our number of partners and businesses and are now operating in a new country, Ireland that's performing well. Revenue has grown by 17%, revenue run rate has grown by 22% and shares have increased 0.8% over the period, which is still below the number of shares at IPO in 2017. Our free cash flow per share has grown by 10% and our return on invested capital plus organic growth continues to remain strong. Next page, Kenneth, thanks. We'll go through the highlights about us and capital allocation. But the big rocks that we wanted to share to understand, where the firm is and where it's going are these big themes, which are -- we are trying to build a global firm, an Australian global firm for private business owners, who we describe as people that want to go somewhere, so those active business owners. And we are now in a position, where we have a global team. We have people generating revenue 24 hours a day, essentially 7 days a week all across the globe, which is frankly, tremendous, and we are delivering on this prospect of growing a global business from Australia through the U.S. and now into Ireland through our 51% ownership in the Kudos network that has 60 firms in 48 countries. We believe many of those firms will become Kelly Partners firms over time. with an emphasis on the expression over time. In terms of M&A, we have a programmatic acquisition playbook that is well practiced and very well proven, and we are implementing that in the territories that we're seeking to play with our focus remaining on Australia, where we are obviously very advantaged. We are building and have quietly been building a suite of software applications for our firms that are unique and different and give us a way of differentiating for our people and clients. And we are working on our data consistency and our ultimate implementation of AI broadly and specific tools to continue to make Kelly Partners the best place to work for talented young accountants that really want to help clients and build their careers. We've outlined in some slides in simple terms what that all looks like, but we can see clearly that we are growing our revenue outside Australia, and that is developing a more differentiated posture and reality for the business. We're very excited to see that the huge engagement of private equity over the last 5 years, we think will provide real opportunities for Kelly Partners. In the recent AI-driven rerating of businesses like ourselves and CBIZ that's listed in the U.S. we believe that many of these PE-backed investments are going to struggle to exit at valuations that their investments assumed. We believe that, that will create more opportunity for Kelly Partners as a listed permanent capital holdco at likely lower valuations. It will mean, I think, that AI will drive fear into vendors, meaning that they will increasingly look to exit their businesses with their pending retirements. I think there'll be more dead PE deals that will provide acquisition opportunities over the next 5, up to 10 years. And I think there's a separation of the leadership-driven tech-enabled firms from the rest. I think attitude and age to a degree are going to very much matter for the ability of a firm to adopt AI and apply it effectively. But AI will be adopted in every piece of software we use and platforms we play on by our clients and by ourselves. And so, I think it will just become ubiquitous and frankly, quite helpful for our teams. Implementation in terms of acquisitions is the hard work, and it really matters and KP has a playbook and a track record that makes us very confident in our ongoing ability to win in that way. In terms of software, since 2021, we've been building internal software development capability supplemented by external capability. And we've been building tools like a single point of truth for our directors that sits over the top of our other systems and gives us a unique view of how we're playing the game. We've built applications for our teams, clients, client niche, and we're building an order platform for our Kudos firms. We just call that out because it's a quiet key part of our business that we've been investing in, and we will continue to double down in that space. In terms of how AI will disrupt the accounting industry, I don't think anyone knows all of the ways that AI will impact, but technology has always impacted our industry, and it will continue to, I think, add value to our firm more than it actually destroys value. The principal advantage our firm has is the quality of our people and their alignment to our purpose. When you take very smart people and give them new and better tools, I believe that we will be uniquely placed to find ways to create and deliver value with AI or any future technology. Our clients' needs remain very similar. And in particular, our core product is our trusted advice, which we believe in a world of more information and easier computation will frankly become more valued. While there is a commoditization of accounting generally that's been going on for some decades, certainly since my involvement in accounting 30 years ago, what's always remained true is that the people that have trusted relationships and really deep expertise at solving complex problems are best placed to prosper in a -- and navigate a changing environment, which our industry has always been. So very interestingly, one thing to look at is the age of our workforce and our team are young, highly qualified professionals. And I think that this profile of our people and our partners, the average age of our partners is about 42 is very, very different from the industry. The average age of partnerships in private client firms of the nature that we seek to acquire is typically over 60. We don't believe that cohort is going to be very good at taking on the new technology that is confronting the industry and creating opportunities for the industry. We've popped a slide in there to show the sort of indiscriminate impact of recent share price movements with KPG is down 49.51% in the last 12 months and Constellation Software is down 49.94% that I'm feeling comfortable that this is a broader sell-off, Xero is down 52%, Salesforce down 40%. We think the markets done what it is done. And what we will continue to do is focus on our business and let the market do whatever it does. It's Mr. Market is having a crazy day, and that's okay. By the way, we've been here before during the pandemic, I think people will note that our share price fell well more than 50% and the world didn't end either. So we will seek to take advantage of the recent share price change through buybacks, using our employee share scheme to give our team long-term exposure to the upside of the stock. I'm very confident that we will very much benefit all shareholders by this momentary opportunity. So calling out some quick highlights, we've got this KPG in 10 seconds. revenue growth of 17% in the half. Margin remains very, very strong. Parent NPATA is growing. Our returns on equity are strong, gearing is strong, cash flow and the efficiency of our cash conversion is strong. So we feel very good about the way the business is operating. We speak to the long consistent business model and flywheel that we operate and its ability to generate consistent results. and remain very confident that, that model and our flywheel remains very strongly placed. I'm particularly pleased that we've had 6 firm join us in the last 6 months and the demand to join the group has never been stronger. I'll leave these slides to read in your own time if you haven't read them yet, but revenue growth, EBITDA, programmatic acquisition, cash conversion, return on invested capital, return on equity are all in very, very strong places. We've always looked at the progress of the firm in 5-year period. We said in 2020, 2021 that we would look to accelerate our growth, and we're pleased that over the 5 years since there, we've nearly tripled our revenue from $48.9 million to $135 million last June. Our run rate is at $165 million. And so, we are in that acceleration phase that's requiring some investment, but we feel very good about our ability to foresee and deliver on the business plan. We shared this slide on the earning power of the business and the sense of our numbers just for shareholders to have some clarity, and that's for you to review in your own time. So profitability right across all of the firms, EBITDA margins have improved, and they remain as strong as anyone I'm aware of at our scale in the industry globally. In terms of capital allocation, this is a slide that we've shared consistently over the years, and we'll leave that there for your review. So we aim to build per share intrinsic value over time. And you can see the strong performance of our compounding of book value at a CAGR of 34.9% for nearly 19 years. It will be 20 years in June, and we're very pleased with that progress. We believe that it demonstrates that there's a systematic way and a flywheel to what we're doing. Our mindset is as investors operating a holding company that experts at the specific small circle of competence that we understand, which is the $2 million to $10 million revenue accounting firms. And we think that's proven out in our track record over nearly 20 years. I'll leave this for you to review in your own time, but it just shows our emphasis and our focus on a return per share that is on issue for all shareholders. EPS and free cash flow per share continue to grow. And again, emphasis on per share returns. And you'll notice from 2021 to '26, that returns nearly doubled in line with the revenue growth. In terms of locations, we're pleased to be into Ireland with a fantastic firm and partner. It's a 55-year-old firm grown by father and son. And now with Stefan Asple operating, it's a great story. We're into India, Hong Kong and Philippines, strong in Australia and growing in the United States. We are the only firm to my knowledge, from Australia that's ever had an equity interest in a U.S.-based firm. And we believe that the U.S., Australian and U.S. Ireland, niche cross-border private company and their family growth opportunity is very differentiated and very outside the realms of AI to disrupt ever. In terms of the platform, the platform is very strong and very differentiated in our view. I'll leave that for you to review in your own time. So our strategy to become a top 10 accounting firm in Australia is well and truly on its way. In our mind, we exclude the big 4 and other firms that are not pure-play accounting and tax firms. And we've really taken our place with names that have been around for 50 to 100 years longer than us in Australia. We consider our position in the Australian market to be very strong with profitability far beyond our typical competitive firms and less exposure to AI impact on things like audit services, where our audit services are 5% of our revenue or less. Most of these comparable firms are 25% to 40% of their revenue in the audit space. So we expect to continue to grow very, very strongly in Australia and to be able to maintain our profitability, our profitable margins in the sectors that we operate. Now in terms of going global, that plan is proceeding and frankly, better than expected. It's an ambitious and difficult challenge to take on board. When you're trying to do something that other people haven't done before, no one would expect it would be easy. And it hasn't proven easy, but we are, as we always do, just working through to make that happen. I really couldn't be more pleased with the progress we've made with the quality of our team, our partners and our impact in these markets. And the demand, frankly, is overwhelming and exciting. So where I was hopeful and thought well considered in this approach 3 years ago when we started today, I'm certain that we can build a strong global presence for Kelly Partners as Australia's global accounting firm for private business owners that want to go somewhere more so than they ever have been. It's extremely exciting. If you consider today, the business that we own by revenue outside Australia after 3 years is the same size as the business that we listed on the ASX in 2017. And that was in terms of our ASX listing after 11 years of building the group from the foundation. It's taken us 3 years to duplicate that size in each market. So it's a great effort by all of the team, and there's a lot to do to really build that business to its full capacity. But it should be certain that the addressable market outside Australia is something like 10x the addressable market that exists within Australia. We will continue to drive our advantaged position in Australia, while gently proceeding to grow our private business in an intelligent and capital-light manner. In terms of partnerships, this is how many we've done and sort of what the pipeline looks like. And we have a process, we have a great pipeline. Great. I might hand over to Kenny to talk about capital allocation, which remains very strong and take us through the financials.
Kenneth Ko: Okay. We've got one more slide here, Brett, on the additional investment and then just the financials, Brett.
Brett Kelly: Great. Well, I was a little bit early there, Kenny. Additional investment, we often get asked, could we get the full walk-through earnings or the full earnings through to KPG without additional investment. We make really clear here how we've driven this investment over time and -- we've always got a return on this additional investment. It's really just a choice as to either pay dividends, retain cash or invest in the internal capacity of the business. We've chosen to invest in the internal capacity of the business and grow that business, and that has worked out really well. So we'll continue to do that. We're looking for shareholders that are long term in their orientation in the way that we are as owners and that partnership has proven to be very, very effective over time. We're not -- while we will be very diligent about this investment, we're not running the business for short-term cash profits in terms of NPAT. We're looking at continuing to grow the capacity of the firm to drive these types of growth numbers. I think that the return on the capital that we're investing is sensational, frankly, we're keeping it at strong ROICs. And so, I'm keen to deploy the capital available to that use.
Kenneth Ko: Great. Thanks, Brett. So great to see everyone again.
Brett Kelly: Any time, Kenny. Any time.
Kenneth Ko: Great to see everyone again present the financial results and highlights for the half year ended 31st of December 2025. I will start off with this slide that shows the key financial metrics for the group and the parent. Starting off with the highlight for the year in an increase in group revenue from $64.9 million to $76 million being a 17% growth on prior year and the underlying EBITDA for our operating business is growing 15.2% to $21 million. The margins are comparable to last year. Our underlying NPATA for the parent has increased 12.8% to $5.6 million on $4.9 million last year, and we continue to generate great cash flows and strong balance sheet, as you can see below, and great return on equity and invested capital metrics. On the income statement, as I alluded to just now, revenue increased 17% to $76 million. Our run rate currently is $164.2 million. The revenue growth is driven by organic growth of 4.2% and acquired revenue growth of 12.8%, noting that, as Brett said earlier, we completed 6 acquisitions this year, all of them throughout the year. So those acquisitions really contributed partly into the half year numbers. Out of the 6 acquisitions, 2 we completed in August, 2 we completed in October and another 2 we completed in December. So really, those acquired businesses only contributed a few months of revenues and profits to the results. Our Australian operating business EBITDA margin is at 31.3% and our group operating business EBITDA margin of 27.6%. I just wanted to bring everyone back to the profitability slide that Brett shared before, showing that the EBITDA margins for all of our cohorts has increased for the half, and it shows our efforts to increase those margins across all our businesses. On the right there in the table, our underlying EBITDA increased 15.2% for our operating businesses and 10.8% after taking into account the parent additional investments. Underlying NPATA, as I said just now, attributable to shareholders, increased 12.8% to $5.6 million. We continue to present our numbers pre-AASB, so including the rent expense because we think that makes sense and that's how we've shown numbers throughout the years. In terms of the balance sheet, our net debt to underlying EBITDA is 1.79x compared to 1.42x in 30th of June 2025. And again, due to the debt we've taken out to complete the EMEA acquisitions that I just mentioned. Return on equity metrics remain strong for both the group at 38.1% and the parent at 32.6%, respectively. Very pleased to see our lockup days decreased to 49.8 days, and it shows the discipline of which our business managed their working capital, and it's quite a bit of reduction from the prior periods. In terms of debt and liquidity, our net debt increased $18.6 million to $77.1 million since 30th of June 2025, again, mainly to fund our India acquisitions and other funding requirements such as partner buy in loans. And I note that during the year, we completed those 6 acquisitions had revenues of $18 million to $22 million, so aligned to the net debt increase. One thing to note for our key large shareholders, if you compare the working capital debt against the prior period, you will see a substantial increase of $8 million from $7.7 million to $15.2 million. And that's because at 31 December 2025, our bank, Westpac gave us temporary overdrafts to complete the 2 acquisitions in the half, and they were in the process of being refinanced to long-term debt. Both of them have been converted to long-term debt as of today. So those so-called working capital debts would be reclassed as long-term debts. Our principal debt repayments for the half is $7 million. So annualizing that, that represents annual debt repayments of $14 million, and it's in line with the 5-year amortization of the loans. If you look at our acquisition term debt there of $60 million, that equates to around 4x to 5x the -- that annual repayment of $14 million. We continue to maintain a healthy cash and facility headroom. And that's the debt and liquidity slide. On the next slide, the cash flows. Cash from operations increased 6.4% in the half. Our scheduled debt reductions increased from $5.4 million to $6.2 million due to the increase in debt, obviously. And as I mentioned there, you would see that -- during the half, we repaid scheduled debt reductions of $6.2 million, plus an additional debt repayment of $0.8 million annualizing to a $14 million debt repayment. Our growth CapEx there relates to a major fit-out of our Griffith office, which is a very well-performing business within the group. And again, our cash conversion is high at 101.1% for the half compared to 103% in the prior half and is consistent with our expected 85% to 100% conversion ratios. Parent and NCI waterfall, I won't go through this in detail, but this provides us with a reconciliation of the 51% to 49% interest in the parent and NCI to the statutory profits shown in the financials. And as you can see there, there are various parent attributed costs such as parent tax, interest and depreciation. They're comparable to what we've done in the prior half. And obviously, the additional investments and some non-recurring expenses. Those all contribute to the difference in the proportion between the parent and NCI earnings. And that's it for me, Brett.
Brett Kelly: Good man, Kenny. Thank you very much. Why don't we go to questions? That's probably enough from us and really keen to -- we've got a great showing of shareholders today. So very pleased if you drop your questions in the Q&A chat. I'll get to work trying to answer them with Kenny.
Brett Kelly: So current share price, notwithstanding what has changed in the last 6 months that impacts the decision between investing capital and acquisitions versus buybacks. Nothing has changed other than the change in the share price. Acquisitions are still our first and best place to invest, and you'll continue to see that. We think share prices just move around, and we've never run the business with a short-term focus on the share price. Second question, can you explain the slowdown in revenue growth from 24% to 17%?
Kenneth Ko: Yes, I'll take that.
Brett Kelly: Yes. I would -- I throw that to you, Kenny. But frankly, I wouldn't see it as a slowdown. Over to you, Kenny.
Kenneth Ko: So on that question, so if one looks at the run rate revenue of $164.2 million and you compare that revenue to our FY '25 revenue of $134.6 million, the increase is 22%. And as I explained earlier in the presentation, because of the timing when we did those 6 acquisitions, we did 2 in August, 2 in late October and 2 in December. really, they really didn't really contribute that much to the acquired growth. Hence, there's that timing difference in having that full acquired growth reflected in the numbers. I hope that answers your question.
Brett Kelly: Just looking for any other questions? I can't see any other questions.
Kenneth Ko: I think, Brett, you have to click on the new post and it generates the new question.
Brett Kelly: There we go. I'll just open it again. So Brett, during an interview with compounding quality in October '24, you mentioned that Kelly Partners was investing in AI through a joint venture with a 51-49 partnership to develop AI-specific tools since then there's a little public communication on this initiative. Can you provide an update? We have looked at that joint venture and a number of others and we've decided instead of doing those joint ventures to continue to work with our own software development and partners within the business. The terms and pricing of those proposed joint ventures didn't make any sense to us. And we believe that we had more to contribute than was being recognized. So we just continue to push on ourselves with our own initiatives, and we feel very comfortable with that approach. There's a lot of developments going on in AI that is just application-specific that we think might be useful in the short term, but we don't see them having any particular enduring value and getting duplicated very quickly. So we're being constantly asked to invest either time or capital in these joint ventures, always been -- been careful, where we involve ourselves. And next question, you've have been very positive about the impact of AI on the profession, given the significant efficiency gain AI could unlock combined with the structural supply-demand imbalance. You previously noted that accounts currently perform roughly 8 tasks out of the 80 task clients require. When would you expect those efficiency to translate into higher organic growth for the group? I don't expect higher organic growth. If we have organic growth of typically, we think about 6%. It comes out at about 4% after we continue to acquire firms and get rid of some of the poorly performing clients that typically impacts our reported organic growth. I'm pretty happy with 5% organic growth. And if those tools deliver more organic growth, that would be nice, but not necessarily a focus for us. How would you currently -- next question, how would you currently describe the M&A pipeline? Has the market softened? There's never been any impact of our share price on our M&A pipeline, certainly not a negative one. People really sell because they're ready to take on a partner that can add value and/or retire. We've got a very, very strong pipeline, as strong as it's ever been. It continues to improve every year. And we just don't see any particular negative impact at all. Next question, group has made substantial additional investors. which have impacted NPATA and EBITDA margins, when should investors expect to see the returns on these investments, improved profitability and operating efficiencies. If you look at overall organic -- sorry, overall growth in revenue, if we're growing at 30%, it takes us longer to get margins up to the levels that we would like because we just have less time to focus on each of those businesses that join us. But frankly, we're really matching our effort with the ability of a firm that joins us to take on our effort to get those margin improvements. I'm comfortable with where the margins are at the moment, and I expect them to continue to remain very strong. Next question for us uneducated Americans, can you translate the term debtor days? Debtor days are receivable days and lockup days are work in progress days plus receivables days. basically the working capital being absorbed by our business. Can we get an update on any potential IPO? We are working to make sure that we've got the debt that we need to continue to grow the business. And when we've got the resolution of our debt structuring sorted out, it is our intention to pursue a listing on an appropriate market other than the ASX. And that's about as much as we can say about that legally at this time. And you built strong -- next question, you built strong momentum through programmatic acquisitions, Philippines BPO platform is now material to group capacity. How do you balance accelerating that offshore leverage with preserving partner economics? The Philippines BPO is not focused on providing team members to Kelly Partners. It's a business that provides team members to all sorts of businesses. Out of its 1,150 team members, less than 20 of those would be with Kelly Partners. But that number can grow over time, and that will help us to have the right number of people right across all of our firms all throughout the world, as well as maintain and improve partner economics. Next question, back in July 2025, KPG sent out a shareholder survey about potential future investments. Any update about that survey? No update at this point. Next question is the recent internal capital raising to still be used for the reasons stated at the associated meeting. Yes. Yes, it is. We are going to continue to deliver on all of the undertakings that we have made. A question about -- can you talk more about Kelly Partners Investment Office. We can't buy KPG shares by a KPIO, as far as I understand with the rules, the independent trustee rules that relate to that vehicle. We can check that. It would certainly make sense. And at what share price would you consider buybacks over acquisitions? I've always said that when I think about investing in a business, I wouldn't buy one share in a business if I wasn't prepared to buy all of the shares of that business. Certainly, at the price that -- at the current share price, I would be more than happy to own all of the shares of our business. That said, our current posture is to continue to partner with firms in their growth, and we see a huge pipeline of that opportunity. We see that as our core competency, as our real tiny but valuable circle of competence, and we expect to continue to do that and do a lot more of that. That said, we are a holding company. We have investment expertise. We found this pocket of opportunity in the accounting industry 20 years ago. If we were of the view that we found another pocket of opportunity, then we would seek to develop that opportunity as well. We've spoken, I think, comprehensively on AI and there's plenty of information in the pack. There's a question there around, is it an opportunity, I think we've spoken to. Can you please talk more about the fortress balance sheet initiative that you're kind of working on and that we referred to during the full year presentation. Yes, we have the view that we should keep gearing low as we have. I think Kenny, net debt to EBITDA.
Kenneth Ko: 1.79x -- 1.79x.
Brett Kelly: Yes, 1.79x, we think is very conservative given the 6 deals we've done in the last 6 months. We typically see that sort of contract strongly. We don't see any particular pressure on our balance sheet at all. And we will look -- the way that Berkshire Hathaway has over 60 years as a public company, we're always trying to run the business like a battleship that can perform in all circumstances. And we traded strongly through the global financial crisis in 2007 and '08, and we traded very strongly through the pandemic, and we continue to trade very, very strongly. I'm very confident about the business' positioning relative to what we see in the industry in particular. I think we shared as much as we want to share about what our software developers are up to. We run -- we try to run a balance between being very transparent and being very careful not to share the trade secrets of KPG. You can see the results, most of the -- most businesses that are achieving outstanding results in their industries are doing that largely through trade secrets. And so, we wanted to let shareholders know that we, for a long time now, have been working on our software development capability, which definitely entails thinking about automation, AI and these types of areas. We hadn't previously disclosed the dollars that we've been investing. We wanted to just reassure people that we are not asleep to these issues, while we're not sharing the specific things that we're doing that might give our competitors a heads up to what we're up to. Can you give an update on increasing the size of acquisitions team? Yes, it's really just 3 of us doing it. We keep looking for talented people to join the acquisition team. But when they turn up, they are expecting salaries of up to USD 0.5 million, that's a proposal we can resist at this point. So we'd like to increase the size of that team, but I'm not sure that -- at that type of pricing haven't been able to convince myself at. That makes sense as of now. That might change. And you've got us here. If there are any other questions, I'm just seeing that there's another one. Please lock them in. We're going to be out of time soon. Not a question, just a comment. I hope that you and the businesses have come back stronger from the recent California fires and Florida hurricane events. Thanks. Thank you for your comment. And yes, we're doing our best. It's been -- last year was a terrible year, and so I'm very happy to be in 2026 away from that. Where do we see the business in 10 years, 20 years? We're trying to build an enduringly valuable holdco that has as its principal business, the Kelly Partners accounting business that will be Australia's global accounting firm for private business owners, who want to go somewhere. Over a 20-year period, we see ourselves as being a globally respected listed holding company with a reputation for compounding per share value as well as anyone ever has as well as finding unique pockets of opportunity to drive those returns. Not a question, but thank you for the shareholder letter about the stock price performance earlier today. Happy to get that out. We don't spend a huge amount of time on Investor Relations, not because we don't respect our investors and our shareholding partners, but rather, we know that the best thing that we can do for you as shareholder partners is to focus on the business to keep our eye on the ball. Share price is just a scoreboard, interesting, but we can't do anything about the scoreboard by staring at it. We have to keep our eye on the ball of the business and delivering on the business plan and the long-term value creation vision of the business. which you can be assured we are doing very strongly. Any book recommendations, recently required big ideas on nuggets and wisdom. I just saw that Jim Collins, a shareholder of mine, has literally just texted me before this meeting and shared that Jim Collins, who's one of my favorite authors, has a book coming out called What to Make of a Life. And the subtitle is Cliffs, Fog, Fire and the Self-Knowledge Imperative. I'm really excited about that book coming out. I think that will be quite cool. I've loved reading Brad Jacobs, How To Make A Few Billion and How To Make A Few More Billion. In particular, the piece I like about that book is Brad talks a lot about mindset. If you read the book by the founders of 3G Capital talks about thinking big. You read the first chapter of Steve Schwarzman's book talks about the importance of thinking big. Certainly, both of those gentlemen have challenged me to think much bigger about what's possible for the group. But what Brad Jacobs has done is encourage me to focus on the role of mindset, and he talks a lot about cognitive behavioral therapy and meditation and ways to think to keep yourself centered and grounded amid the pressures of life and also how to expand your sense of what's possible. I love his little obligation that is his little observation that he says, you've got to bring a love vibe to your business. People have to feel really cared about and that they're on a mission with you. And I just love that idea. I just think it's very nicely expressed and very much aligns with my values and the values here at Kelly Partners. So really, really like that book. Now I have a bad books at any one time going. And -- and I'm excited to share that I have written a new book called Progress, which is 75 big ideas for life and business, which you'll see come out this year ahead of our 20th anniversary on June 12th. That's a book that I've pulled together. It's the first time I've written anything that's not an interview book. I also published this year a book called Political Wisdom, which is interviews that I've done with 6 Australian Prime Ministers. It's part of a wisdom series I've been writing since 1998, one every 7 years, which is nearly the 30th -- 30-year anniversary, which is cool. And I pulled together a book of 14 interviews from our Be Better Off Show podcast that we'll publish this year as well. So keep your eye out for those. We always got some book recommendations. So great question. Happy to chat about them. In terms of nuggets of wisdom, I must comment that I love the letter that Warren Buffett wrote for Thanksgiving. I love the way that he handled his transition. I thought the last Berkshire meeting was not only hugely informative, but very, very moving. And the most impactful part of that meeting was when Buffett was asked why had he been able to continue for 60 years in his role. He mentioned that he just liked working for his shareholders, who many of he knew personally, and he loved delivering for those people. I thought that was profound and moving and certainly share that mindset. I highly recommend anyone to watch that 2 or 3 times over. There's just acres of wisdom in that particular meeting and it was really any sharpest. Where can you purchase books? All will be on Amazon. And if you can't find them, let me know, and I'll find a copy for you. Well, going once, going twice, I really appreciate everyone joining us today. I think we've got through about 30 questions. I hope our responses have been useful. I'm incredibly excited about where the business is, the opportunities we have in front of us, the value that we're delivering to our people and our clients and the positive impact we're making in our communities. When we started the business in 2006, we hope that we could make the accounting industry better for its people and clients and communities, and we know that we're doing that. I want to thank all of our team members from our most junior through to our most senior, all of our partners, all of our shareholders and all of our clients and the communities that encourage us in and allow us to prosper within them. We're in the business to make a positive difference. We have a flywheel of positive outcomes, as we put in more effort, we get great positive feedback, and that encourages us to frankly do more. And so, I feel incredibly blessed and privileged to lead our organization of people that I just could not speak more hardly of or be more proud of. The most consistent feedback I get on Kelly Partners is when I send people to meet our people and they come back to me and they say, it's the most incredible privilege of my role, the feedback that I received from all over the world saying I cannot believe Brett, the quality of your people, of their work and their care for their people and he or she is a client it is really, really very, very special. So I'd like to thank everyone for joining us today on the 10th of February 2026. For me here anyway, Kenneth in -- I'm here in California. Ken's in Hong Kong, we probably should have mentioned and for all of you in Sydney and around the world that have joined us today. If there's anything that we've missed, please reach out to us with an e-mail, and we'll certainly come straight back to you. I appreciate your time. And as I like to say, thank you, Kenny, and have a great day.